Operator: Good day, ladies and gentlemen, and welcome to the Keysight Technologies Fiscal First Quarter 2017 Earnings Conference Call. My name is Mariama, and I will be your lead operator today. After the presentation, we will conduct a question-and-answer session. Please note that this call is being recorded today, Thursday, February 16, 2017 at 1:30 PM Pacific Time. I would now like to hand the conference over to Jason Kary, Vice President, Treasurer and Investor Relations. Please go ahead, Mr. Kary.
Jason A. Kary - Keysight Technologies, Inc.: Thank you, and welcome everyone to Keysight's first quarter earnings conference call for fiscal year 2017. With me are Ron Nersesian, Keysight President and CEO; and Neil Dougherty, Keysight Senior Vice President and CFO. Joining in the Q&A after Neil's comments will be Mike Gasparian, President of the Communications Solutions Group; Gooi Soon Chai, President of the Electronic Industrial Solutions Group; John Page, President of the Services Solutions Group; and Mark Wallace, Senior Vice President of Worldwide Sales. You can find the press release and information to supplement today's discussion on our website at investor.keysight.com. While there, please click on the link for quarterly reports under the Financial Information tab. There you will find an investor presentation along with Keysight's segment results. Following this conference call, we will post a copy of the prepared remarks to the website. Today's comments by Ron and Neil will refer to non-GAAP financial measures. You will find the most directly comparable GAAP financial metrics and reconciliations on our website. We will make forward-looking statements about the financial performance of the company on today's call. These statements are subject to risks and uncertainties and are only valid as of today. The company assumes no obligation to update them. Please review the company's recent SEC filings for a more complete picture of our risks and other factors. And now, I'd like to turn the call over to Ron.
Ronald S. Nersesian - Keysight Technologies, Inc.: Thank you, Jason, and thank you all for joining us. We will focus today's discussion on four key topics. First, we delivered a strong first quarter. We achieved earnings of $0.57 per share above the midpoint of our guidance and revenue of $726 million at the midpoint of our guidance. Second, in the aerospace defense market, we saw funding delays in the U.S., which impacted orders and revenue in the quarter. While we expect to see headwinds in this end market for the next few quarters, we are confident in our long-term opportunities for growth when the funding resumes. Third, outside of aerospace defense, we achieved double-digit organic order growth driven by continued momentum in next-generation technologies. Our growth on multiple fronts of several emerging trends gives us confidence that our strategy is working and Keysight's transformation is well underway. And fourth, we are further accelerating the execution of our strategy and transformation with the proposed acquisition of Ixia, which we announced two weeks ago. Let's begin with a brief overview of Keysight's first quarter performance. We are pleased with our results in execution in the quarter. We delivered $726 million in revenue at the midpoint of our guidance, and achieved earnings of $0.57 per share, above the midpoint of our guidance. We achieved 2% order growth despite unexpected aerospace and defense funding delays in the U.S. While we remain cautious on the timing of the finding for the next few quarters, we are very confident in our leadership position including a number of recent program wins. Excluding aerospace and defense, orders grew 11% year-over-year organically. Our growth was driven by the continuation of the trends we have discussed in previous quarters, including 5G, IoT, high-speed data centers, wireless LAN and the electric car. We are still in the very early stages of these emerging technologies, and believe Keysight is best positioned to help these industries move forward. Our focus on bringing solutions to market that helps customers accelerate their next-generation designs across the communications ecosystem is allowing us to drive multiple avenues of growth across these trends. We are pleased with the momentum and believe the Keysight transformation for growth is well underway. In 5G, our growth continues to track ahead of expectations. Our collaboration with major universities and research centers around the globe are fully underway. In December, Keysight and the University of California San Diego demonstrated a bidirectional 60-gigahertz link for 5G applications and achieved gigabit per second speeds at previously unachieved ranges. The demonstration included advances in millimeter-wave technology that provide critical proof of concepts for 5G including the fixed broadband use case at the center of many pre-standardization efforts. The 5G ecosystem is broadening beyond universities and research institutions to chipset players, device developers and mobile operators. While 5G standards have yet to be established, full design and development efforts are driving material R&D investments as large device makers retool their labs for millimeter-wave commercialization and high-speed digital interfaces. Millimeter-wave applications at higher frequencies can deliver far more throughout and speed, but 5G is about more than just consumer applications such as streaming mobile video, pervasive ultra reliable and low latency over-the-air communications are also critical tenants of 5G. This is to support large IoT deployments and machine-to-machine communications as more and more devices become smarter, automated and connected including trucks, cars, smart homes and medical devices. Given our deep heritage and leadership in RF, microwave and millimeter-wave design and test, our increased focus on software solutions that enable rapid prototyping and the broad range of solutions we have available today, Keysight is well positioned to lead the market as these next-generation technologies evolve and converge. In recognition of our leadership position in IoT, Frost & Sullivan recently awarded Keysight with the 2016 Global Test & Measurement for IoT Company of the Year Award. Keysight has a broad portfolio of solutions to help designers fast track IoT deployment and many 5G applications. Later this month at Mobile World Congress, we will showcase many of our solutions that help designers transform their ideas into reality from simulation, to prototype, to manufacturing and optimization. In order to demonstrate the breadth of our portfolio, I would like to share with you just a few of the solutions we planned to showcase at Mobile World Congress. First, our NarrowBand-IoT testing solution. This industry-first solution helps designers accelerate the deployment of IoT technology and optimize designs for critical performance attributes, including power consumptions, RF performance, interoperability and conformance test cases. Second, Keysight's 5G fronthaul monitoring solution that brings next-level capabilities to mobile operators and the real-time dashboard. Third, our 5G Wideband Real-Time Beamforming Reference Solution that empowers researchers to quickly and accurately test analog, digital and hybrid beamforming systems including the transmission of massive MIMO with beamforming technology. Fourth, our new 802.11ax solution that supports up to 8x8 MIMO and drives greater test efficiency, enabling R&D engineers the ability to quickly validate their new devices and drive greater test and manufacturing efficiency. And lastly, our Virtual Drive Test Toolset (sic) [Virtual Drive Testing Toolset] from our Anite team, which is an automated field-to-lab test solution that replicates drive test conditions and now is extended to help cost effectively verify wireless connectivity in the connected car. All the data traffic created at the network edge from higher speeds in the growing number of connected devices requires upgrades across the network including data centers. In the first quarter, we continued to see strong growth from our optical and high-speed 100-gig digital test solutions along with initial 400-gig investments. We also launched new products targeted for the data center, including a high performance bit error rate tester for electrical and optical PAM-4 transmitters and receivers. And this month, we launched a new sampling oscilloscope solution for 100-gigabit per second PAM-4 signals. Whether it is for high-speed datacenters, next generation mobile networks, radar, avionics, automobiles or medical devices, Keysight's solutions go where the electronic signal goes, from design simulation, to prototype validation, to manufacturing test, to optimization in the network. And now, with the proposed acquisition of Ixia, we are broadening our reach within and beyond the communications development lifecycle. Our reach will include electrical signals as well as packetized data, applications and network security. This acquisition also creates a new powerful innovation engine and end-to-end partner for the development of next-generation technologies and optimizing and securing networks; expanding our number of touch points with long-term technology trends and accelerating our transformation for growth. Keysight's wireless leadership, combined with Ixia's leadership in network test and visibility, will allow us to address the entire communications and networking sphere and move Keysight into network operations. Ixia is a pioneer and true innovator in testing IP networks. The company has consistently been first to market in leading-edge technologies, including high-speed Ethernet up to 400 gig. Our complementary technologies and world-class talent, together with our increased scale, will create new opportunities for growth and market penetration that will enable us to lead in our served markets. This acquisition is 100% complementary to Keysight, and is in direct alignment with our growth initiatives, including expanding our portfolio of software-centric solutions. Ixia's solutions have significant software content as evidenced by the fact that 90% of their R&D engineering staff are software engineers and result in the company's very high gross margin profile. In closing, we believe our strategy to align the company with the growth segments of our markets is working. We've invested in the right areas of the market at the right time and we continue to execute on our strategy. We still have lots of work ahead to complete our transformation, but we are excited to see the initial results from our continued commitment and execution. Our strong innovation and solutions portfolio position us well for growth as these long-term trends continued to evolve and customers increased the development of next-generation technologies. With the acquisition of Ixia, we are further accelerating our transformation for growth and creating a powerful innovation engine and end-to-end partner for the development of next-generation technologies and optimizing and securing networks. Now, I will turn the call over to Neil to provide more details on our Q1 financial results as well as our second quarter guidance.
Neil P. Dougherty - Keysight Technologies, Inc.: Thank you, Ron, and hello, everyone. Today, we reported first quarter revenue of $726 million, which was at the midpoint of our guidance and in line with the same period last year. On a core basis, which excludes the impact of currency and acquisitions, revenue was flat year-over-year. Regionally, core revenue declined 5% in the Americas, increased 4% in Europe and increased 3% in Asia, excluding Japan. Core revenue was flat in Japan. Looking at our operational results, gross margin was 57.5%, a year-over-year increase of 90 basis points. For the quarter, operating expenses totaled $289 million, up 2.3% over last year. This resulted in first quarter operating margin of 17.7% compared with 17.8% last year. We reported net income of $98 million or $0.57 per share, which was above the midpoint of our guidance range and $0.02 above the first quarter of fiscal 2016. Moving to the performance of our segments. Our Communications Solutions Group, or CSG, includes two primary end markets. First is the commercial communications end market that reported revenue of $254 million, up 2% compared with last year's first quarter, driven by growth from 5G and next-generation data center technologies, offset by continued cautious spending across the wireless device value chain. CSG also includes our aerospace, defense and government end markets, which generated revenue of $180 million in Q1 compared with $191 million in the same quarter last year. As Ron mentioned, delayed funding in the U.S. impacted first quarter revenue and orders. As expected, we continued to see a stable but lower level of spending in our aerospace defense business in Russia and China. In total, aerospace and defense orders declined by approximately 20% over the first quarter of last year. We expect to see continued headwinds for at least the next two quarters as even after new budgets are approved, spending will take time to resume. This brought total CSG revenue for the quarter to $434 million compared with $440 million in the same quarter last year. CSG reported gross margin of 60.5% and operating margin of 16.7%. Our Electronic Industrial Solutions Group, or EISG, generated first quarter revenue of $192 million compared with $191 million in the same quarter last year. Growth in Semiconductor Measurement Solutions was offset by a decline in General Electronics Measurement. Automotive & Energy Solutions were flat year-over-year. As you know, we've had three quarters of very strong growth in Semiconductor Measurement, but we expect this to moderate in the back half of the fiscal year. EISG reported gross margin of 59.9% and operating margin of 21.7%. Lastly, the Services Solutions Group, or SSG, generated first quarter revenue of $100 million, a 5% year-over-year increase. Revenue growth for SSG was driven by an increase in sales from our calibration and remarketed solutions. SSG reported gross margin of 39.4% and operating margin of 14.4%. As Ron highlighted, overall, we are pleased with our performance and execution as a company for the first quarter. We delivered revenue at the mid-point of our guidance despite some challenging market dynamics, and we had solid improvement in the targeted growth areas of our markets. Our total order growth was 2%, or 11% when excluding aerospace and defense. We remained within our operating model, delivering 17.7% operating margin and reported non-GAAP net income after tax of $98 million or $0.57 per share. Moving to the balance sheet and cash flow; we ended our first quarter with $896 million in cash and cash equivalents, up $113 million when compared with the $783 million at our fiscal year-end in October. We generated $102 million in cash flow from operations in the quarter and we invested $16 million in capital purchases. This brings our free cash flow for the quarter to $86 million or 12% of revenue, an improvement of over 380 basis points compared to last year. Before we move to guidance, we would like to remind you of certain modeling items we discussed on the last quarterly earnings call. For FY 2017, other operating income is projected to be $15 million, in line with last year, but pension and benefit expense is increasing by approximately $20 million versus FY 2016. Annual salary increases became effective December 1, 2016, which means that Q1 reflected a partial impact and the April quarter will reflect the salary increases for the full quarter. Additionally, we're investing in incremental field resources and have restructured our sales compensation plan with a higher variable component to drive engagement. We're investing consistently in the key growth areas of our markets to drive the long-term growth of our business, while staying within the operating model we have laid out in the past. As a reminder, our operating model delivers 40% incremental operating margin when we achieve 4% revenue growth or above. Turning to our outlook and guidance for the second quarter. Balancing the dynamics we see in the market, we currently expect Q2 revenue to be in the range of $720 million to $760 million, representing 1% growth at the midpoint on both a core and reported basis. We expect second quarter non-GAAP earnings per share to be in the range of $0.54 to $0.68, or $0.61 at the midpoint based on a weighted diluted share count of approximately 174 million shares. With that, I will now turn it back to Jason for the Q&A.
Jason A. Kary - Keysight Technologies, Inc.: Thank you, Neil. Operator, could you please give the instructions for the Q&A?
Operator: And the first question comes from the line of Patrick Newton from Stifel. Your line is open.
Patrick Newton - Stifel, Nicolaus & Co., Inc.: Yeah. Good afternoon, Ron and Neil. Thank you for taking my questions. I want to make sure that I'm calc-ing this aerospace and defense order correctly. It looks like the push outs costs you about $50 million in orders. So, can you confirm that's ballpark? And then, can you just help us understand are there any specific projects that these delays are tied to, or is it relatively broad-based?
Neil P. Dougherty - Keysight Technologies, Inc.: Yeah. So, with regard to your first question on aerospace defense, it's less than $50 million but not dramatically so. And can you repeat the second part of your question for me there, Patrick?
Patrick Newton - Stifel, Nicolaus & Co., Inc.: I was just wondering if there's any specific programs that this is tied to, that you're seeing push outs or is this just broad-based funding?
Michael C. Gasparian - Keysight Technologies, Inc.: Yeah. This is Mike Gasparian. Let me give a little bit of color on that. About half of the decline was anticipated. It's related to our business in China and Russia. It's actually been a stable business for us for the last several quarters, but it is down from year ago compares. Russia, that's political sanctions, and in China, we're really in the early years of the new five-year plan where spending is always lower than the final year of a five-year plan, which completed last year. So, the dramatic decline that we saw was really focused on the U.S. and was largely unanticipated. It's really a temporary issue. Clearly, it's due to the change in the administration. The government operating under continuing resolution and the lack of any budget appropriations. As you might remember, continuing resolution is not scheduled to expire until April. It does limit spending to about 80% of last year's level on any multi-year programs and it doesn't allow spending on any new programs. In addition, Patrick, there's been a lot of uncertainty in the primes over a potential changes that could occur in procurement policies and processes under the new administration. So, add all those factors up and we think we're in for a several quarters that are soft before spending gets back on track. What is pretty clear was is that when the new budgets do get approved and appropriations get going, we're convinced that spending under the new administration is going to be higher than under the old administration. We do have a strong funnel, and we're really well positioned to capitalize on the growth opportunities we see in this segment going forward.
Patrick Newton - Stifel, Nicolaus & Co., Inc.: Great. And just one clarification on that. So, of the slightly less than $50 million in order push outs, you're saying half was anticipated and half is attributable to the delays in spending in the U.S.
Michael C. Gasparian - Keysight Technologies, Inc.: Yeah. Absolutely.
Patrick Newton - Stifel, Nicolaus & Co., Inc.: Okay. Perfect. And just pertaining to 5G, you had a recent filing where that pointed out your 5G order flow in 2016, in fiscal year 2016, that was quite impressive. I'm wondering how we should think about expectations for order growth in FY 2017. And if you could help us understand what key products or technologies within the 5G bucket are really driving that growth?
Michael C. Gasparian - Keysight Technologies, Inc.: So, Patrick, looks like I'm going to be your guy again. So, what I say about 5G is, it's a great example of next-generation technology that really helped us achieve that 11% organic growth this quarter for the company. Orders continue to exceed our expectations. We had another strong quarter, a very strong double-digit growth over last year's Q1. We've put in place these new industry teams under Ron. We're cultivating our exclusive, collaborations and partnerships with universities, research institutions, key players all around the world in different parts of this ecosystem. And you combine those engagements with, I'll call it, a very aggressive 5G investment profile and they're really starting to pay dividends for us. We've had strategic wins in a number of areas and we've seemed to be pretty well positioned to win as this 5G spending starts to accelerate going forward. There's a lot of field trials coming from operators, a lot of us have heard about Verizon. They've got a fixed wireless 28-gigahertz trial going on in late 2017. But Korea Telecom, NTT DOCOMO, CMCC in China, all of these trials are really catalysts for investments by chipset companies and device makers. And we're seeing really good engagement, particularly on the R&D side, right? R&D new technology it's still a very restrictive CapEx environment. But in these pockets, people are spending money and we are winning some of these early deals. So, we've got a great opportunity for share gains compared to where we were in 4G. And then you have another dimension of 5G coming, which is all about IoT, right? And so that kind of adds into the excitement about 5G. Maybe the quick summary would be that, we don't really see a lot about timing changing. We see a steady buildup activity through 2017 and 2018, and really commercial deployment in 2019 or 2020 timeframe. So that part of it hasn't changed a whole lot.
Ronald S. Nersesian - Keysight Technologies, Inc.: Patrick, one other point that I'll add is that, when 4G was being rolled out, we were organized around product divisions. And we were behind the competition. We are focused for 3.5 years ever since we made the decision to split off from Agilent in the last two-plus years since we've been a public company on making sure that we win in these spaces, especially in R&D, which is the first place where you would see revenue flow. We now, as you know, have a new organization and we have a group that is focused on commercial communications that reports in to Mike, as well as aerospace defense, but in commercial communications, what they do is, they bring all the hardware products, software products and, in total, a complete solution to the customer. So, when I had mentioned earlier about NarrowBand-IoT solutions and other, we have the organization setup so they can pull all the pieces that are necessary and bring them to the customer. And what we're finding is a much, much higher win rate than we found in the past. So, the timing for 5G, we've talked about that in the past and that hasn't changed that much, except the race is on and people are accelerating their overall programs, but the key thing is our competitiveness is much stronger than it used to be.
Patrick Newton - Stifel, Nicolaus & Co., Inc.: Great. Thank you for the details. And just last one is for Neil. I guess, given some of the rating agencies have posted opinions on the Ixia transaction, when we think about the equity component to close the Ixia acquisition, do you think it's more or less likely at this point that you use equity?
Neil P. Dougherty - Keysight Technologies, Inc.: Yeah. We haven't provided any further details on our financing plan. As we indicated we had put a bridge financing in place, there's no financing contingency for the Ixia transaction. We will determine the ultimate take out of that bridge in the coming months. We'd obviously like to do that in advance of the close of the transaction, but the specific mix has not been determinant at this point in time. In terms of parameters, as I said, and when we made the Ixia announcement, we're very much focused on maintaining our investment grade credit ratings. We're working with the agencies to understand what limits that puts us on in terms of our ability to add further leverage. Suffice it to say that the vast majority of the purchase price will be made up from incremental debt funding and current cash on the balance sheet. And if there is any equity component, it will be a minority share.
Patrick Newton - Stifel, Nicolaus & Co., Inc.: Thank you for taking my questions. Good luck.
Ronald S. Nersesian - Keysight Technologies, Inc.: Thank you.
Operator: Your next question comes from Brandon Couillard with Jefferies. Your line is open.
Brandon Couillard - Jefferies LLC: Thanks. First one for Ron. I think Neil spoke to some changes in the variable comp structure with the sales force, and I think you may have also spiked out some field sales head count expenses. Could you elaborate sort of where those are targeted and what the effect is on the operating expenses if this is layered in next few quarters?
Ronald S. Nersesian - Keysight Technologies, Inc.: Hi, Brandon. This is Ron. When we look at the total spend, there's two things that we would like to do as we've really tried to make sure that we grow faster. One is to make sure that our R&D development engine is working on the right products and working more quickly so we have more mass behind them in order to be successful. And then the second goal is to make sure that we beef up our sales organization, and in particular our direct sales organization so that we can win, and also win where we compete and that we can also go ahead and have more broad coverage. So, both of those things are where we're putting more and more of a percentage of our revenue, and the other areas we're looking to continuously pare back and become more efficient. Some of them as we grow, we will not expand and other ones we're looking for basically cost savings to fund that area. When you look at the field sales organization, there are people that are out that are doing direct selling and then we have folks that are doing support. We're trying to become much more efficient in our sales support, so that we can go ahead and put a higher percentage of our sales cost or sales investment towards direct selling efforts to accelerate growth. I'm going turn it over to Mark Wallace, who is the Head of our Sales Organization, to give you a little more detail.
Mark Wallace - Keysight Technologies, Inc.: Yeah. Thanks, Ron. Brandon, Ron covered it really well. I think there's three areas I would call out in terms of where we're increasing focus. The first is on really capturing all this new technology development, and in particular increasing our solutions selling capacity and capability. So, that's one area. The second is around reach and growing our coverage of all of the emerging accounts and territories and geographies around each of the regions. And then the third one is around services. That's a key area of focus for us. We're increasing our head count in that area and focus on selling services in alignment with the company's strategy. So that's the kind of the areas of focus for us. And now, I'll ask Neil to make a couple comments on the financials.
Neil P. Dougherty - Keysight Technologies, Inc.: Yeah. So, the specific part that you're trying to get with the financial impact of the change. So, as Ron indicated, we're trying to focus on our investment on areas we'll drive growth with it while staying within the overall operating models. You're seeing a shift from other expense lines and in COGS into R&D and into the field at a macro level. I think the other impact, specific impact of the field compensation change is, you potentially see a more dramatic seasonality from costs lower in Q1 and Q3, and higher in Q2 and Q4. And there's really two things that are driving that. Obviously, we've increased the variability of our field compensation structures and our orders tend to be higher in those two quarters. But our fields are paid essentially on a quota performance for half. And so, as they move through the half, they can get essentially higher and higher commission rates as they get closer to or eventually above their quota. And so, they're earning at lower rates in Q1 and Q3, earning at higher rates in Q2 and Q4, and then you have the impact of the absolute – with typical seasonality would be for higher levels of orders in Q2 and Q4 versus Q1 and Q3.
Brandon Couillard - Jefferies LLC: Super. That was very helpful. Thank you. And then, one more for Neil, two-part question. Number one, can you quantify the effect of the headwind of the China Lunar New Year in the first quarter? And then secondly, as we look at the revenue guidance for 2Q, plus 1% core at the midpoint. If we strip out aerospace and defense, what would that core growth look like in 2Q next year?
Neil P. Dougherty - Keysight Technologies, Inc.: Yeah. So, maybe I'll make the first comment with regard to Chinese New Year. Obviously, Chinese New Year was something that we have forecasted. We obviously know the timing and we forecasted. We generally think of it is having an impact of somewhere in the $15 million to $20 million impact on revenue. And I think the expectation or the result this year were in line with our expectation. With regard to the guide for next quarter, obviously we don't breakdown the growth rate by specific segments. As I said, we do expect aerospace and defense to continue to be softer at least the next couple of quarters given the dynamics that are happening here around the change of administration in the U.S. as well as kind of the uncertainty that Mike mentioned around China and Russia.
Ronald S. Nersesian - Keysight Technologies, Inc.: One other thing...
Brandon Couillard - Jefferies LLC: All right. Thank you.
Ronald S. Nersesian - Keysight Technologies, Inc.: ...that wasn't mentioned when we talk about the overall mix. Our Services business continues to do very well with 11% order growth in Q1 and 5% revenue growth, but we're really starting to see some good traction there, and that is part of our long-term model.
Brandon Couillard - Jefferies LLC: Great. Thank you.
Operator: Our last question comes from the line of Richard Eastman from Robert W. Baird. Your line is open.
Richard Eastman - Robert W. Baird & Co., Inc.: Yes, great. Thank you. Ron, could you may be just address kind of growth on the modular instrument side, and have you been able to kind of maintain that double-digit growth rate that we've seen on a trailing basis? And then second part to the same question, is that being driven by the Comms business or are we seeing the Industrial business maybe drive some of the modular growth?
Ronald S. Nersesian - Keysight Technologies, Inc.: Sure, Richard. Well, first of all, in the future, we're not planning to be talking about modular, and the reason is this. We've shifted the way we're focusing for growth as opposed to focusing on particular products and talking about what are the customer sets we're dealing with and how do we grow each of the customer sets around the Communications Solutions Group or the Electronic Industrial set or the Services customers. And that way, we're really making sure that we optimize the overall growth and not trying to just push on particular products whether or not they need it, customers need it. So, that's why we've shifted all of our growth initiatives along these vectors and we're not talking about module. I will say, though, that last quarter just to give you the last data point, we grew roughly 20% in modular and certainly the Communications businesses is a good part of that.
Richard Eastman - Robert W. Baird & Co., Inc.: Yeah.
Neil P. Dougherty - Keysight Technologies, Inc.: The only other point that I would add and further on reason for the change is the modular strategy, the software strategy are now fully integrated into the way our businesses think about winning in their marketplaces. And when we first started adopting modular as the strategy, we had to drive it through the organization. It now has critical math, it has critical mind share across the organization. So, it's not something that we're having to drive specific focus on as an organization.
Ronald S. Nersesian - Keysight Technologies, Inc.: The organizations are going ahead and before they would always start with the feature-rich box and then talk about down deploying at the modular, now we're seeing in certain cases, certain products and solutions are coming first in modular, because of the ability and the time to market to get there. But of course, in a lot of cases that's not the best solution for the customer. So, it does come out in feature-rich boxes, but Neil has hit it right on the head. We feel very comfortable with the way that we are focusing on Solutions including software, modular, feature-rich boxes, services and that's really becoming a differentiator for us, especially with the well-established leadership companies.
Richard Eastman - Robert W. Baird & Co., Inc.: I understand. And then, within the EIS&G (sic) [EISG] segment of the group, the auto energy solutions was flattish. And I'm curious is there a lot of positioning going on right now by Keysight in those markets? To some degree, we're kind of expecting the pickup more over the next year to two years. But I'm curious maybe how you view the flattish growth in kind of those key focus markets?
Ronald S. Nersesian - Keysight Technologies, Inc.: Well, first of all, there's two areas in particular that we're focusing on and that is on automotive and power. And both of those markets, we saw really nice order growth in that area or in those areas during the last quarter on the order side. The third area is semiconductor. And semiconductor, when we look at parametric test, we have very high market share and we do a real good job of working on the leading-edge node technologies. Those technologies though when we look at semiconductor, sometimes it's fair and build out, sometimes it's not. But the automotive and the power side are the two areas where we're focusing and seeing some leadership. I'm going to turn it over to Gooi Soon Chai, who is the President of that group.
Soon Chai Gooi - Keysight Technologies, Inc.: Yeah. So, maybe I can elaborate a little bit about the EISG business. As what Ron mentioned, the two major driver for EISG really revolves around the automotive, power segment and also the semi segment. And for Q1, in fact, we see almost a double-digit growth for both of these segments from order perspective. Okay? And reflecting back to your question on automotive, we definitely see it as a growing segment. And this is, as you know, fueled by the increased electrification of cars. And I believe that this play directly into our strength. We are now leveraging a lot of our car capabilities to enable, what I would call, the digitization of cars. And if you look at the bus solutions that we bring to bear, that includes solution around telematics, solution around ECU testing, solution around what we call the advanced driver assist system (sic) [advanced driver assistance system] so that include things like radar tracking for instance and all the way to battery testing. So, at this point, it's still a relatively small business, but it is growing, and we definitely see from auto perspective, a double-digit growth in Q1.
Richard Eastman - Robert W. Baird & Co., Inc.: I got you. Okay. Great. And then, Neil just one really quick question. In the Comms segment, did the decline in the A&D segment of comps, did that influence the operating margin there?
Neil P. Dougherty - Keysight Technologies, Inc.: Not dramatic...
Richard Eastman - Robert W. Baird & Co., Inc.: Negatively.
Neil P. Dougherty - Keysight Technologies, Inc.: Yeah. Not dramatically. Obviously, the overall absolute level of revenues being down as a result of having lower aerospace defense puts pressure on margins relative to absolute higher levels of margin, but we do not notice a materially different gross margin profile in aerospace defense versus commercial comms.
Richard Eastman - Robert W. Baird & Co., Inc.: Okay. Great. Thank you.
Ronald S. Nersesian - Keysight Technologies, Inc.: I just want to circle back to one comment that or one question that Patrick asked. He asked the question with regard to Ixia financing, it's a good idea, I think, to give you one another comment. Since we announced the deal two weeks ago, myself and some of the key leaders from Keysight have had a chance to spend time talking with the employees down in Calabasas, approximately 400. And then also traveling to Austin, Texas to another site with roughly a couple hundred Ixia employees and sharing with them, what our plans are and how we plan to make a stronger company together and I'm even more excited now than I was before. The response from the employees has been very positive. And then on top of that, I've had one-on-one with the top 10 executives in the company to talk about themselves and their roles as we go forward. But things look very exciting. We are very happy with what we see. The other question that comes up at times, we have revenue synergies and cost synergies. I would like to say that we're very confident in the revenue synergies and what we have shared. We have bottoms-up plans that are much greater than that, but we think when we look at the overall street plan for Ixia and then did our analysis with our financial advisor and then added the revenue and the cost synergies that we paid, a very fair price that can create enormous value for Keysight shareholders. But I'll throw out one other data point for you. Even if the revenue synergies were zero when we just achieved the cost synergies, we would be above our whack. Now that's not our goal, but it just gives you an idea of how excited we are.
Operator: Thank you. That concludes our question-and-answer session for today. I would like to turn the conference back to Jason Kary.
Jason A. Kary - Keysight Technologies, Inc.: Thank you, Mariama. And thank you everyone for joining us today. That's all we have. So, have a great day.